Operator: Welcome to the Q3 2009 Teleflex Incorporated Earnings conference call. (Operator Instructions) I would now like to turn the conference over to your host for today, Mr. Jake Elguicze Senior Director of Investor Relations.
Jake Elguicze: The Press Release and slides to accompany this call are available on our website at www.teleflex.com and as a reminder, this call will be available on our website and a replay will be available by dialing 888-286-8010 or for international calls 617-801-6888. The pass code is 97984342. Participating on today's call are Jeff Black, Teleflex Chairman and Chief Executive Officer and Kevin Gordon, Teleflex Executive Vice President and Chief Financial Officer. Jeff and Kevin will make brief prepared remarks and then we'll open up the call to questions. Before we begin, I'd like to remind you that some of the matters discussed in the conference call will contain forward-looking statements regarding future events as outlined on slide 2. We wish to caution you that such statements are in fact forward-looking in nature and are subject to risks and uncertainties and actual events or results may differ materially. The factors that could cause actual results or events to differ materially include but are not limited to factors made in our press release today, as well as our filing with the SEC including our Form 10-K, which can be accessed on our website. I would also like to point out that the results we will be discussing today include our Power Systems business and discontinued operations. And as such, their results have been excluded from the Company's results from continuing operations for all periods presented. Also note that when we discuss core revenue growth, this represents revenues that are currency neutral and excludes revenues attributable to acquisitions and divestitures in the comparable period. With that said, I'll now turn the call over to Jeff.
Jeff Black: I'm glad to have you join us this morning as we report our results for the third quarter of 2009. Overall, we're reporting another quarter of strong results with greater achievement against our stated objectives for the year. Although total company core revenue is down approximately 6% versus the prior year period, this was an improvement from what we saw during the first two quarters of the year as we saw sequential expansion in some of the end markets served by our aerospace and commercial businesses. We achieved 3% core growth in our higher margin more clinical, critical care product lines led by sales of our vascular access, urology, anesthesia and respiratory products. And we continue to expand both our consolidated adjusted gross and operating margins once again led by our medical segment. Overall gross margins, excluding special charges, were up 160 basis points over 2008. And adjusted segment operating margins were over 16%, an increase of 150 basis points. The continued higher mix of revenues from the medical segment along with the incremental synergies from the Arrow acquisition reduced FDA remediation costs and reduced corporate spending all contributed to the overall margin improvement. Operating margins in our medical business remain very strong and were approximately 20%, 21%, up 90 basis points. Operating margins in our commercial segment were up 130 basis points. And although down compared to prior year levels, our aerospace operating margins were significantly improved from the results we saw for the first six months of 2009 and approaching 10%. Turning to earnings per share, EPS excluding special charges were $0.88 in the quarter up 13% over the prior year. Considering overall sales for the company were down, including the negative impact of foreign exchange in product line divestitures, we're extremely pleased with our continued ability to generate such strong EPS growth. In addition, we generated in excess of $100 million in cash flow from continuing operations in the quarter an increase of 88% compared with the prior year. And finally, on August 5 we closed on the previously announced divestiture of our Power Systems business, a transaction that was accretive to both our commercial operating margins and our earnings per share. Moving to the highlights for the year-to-date, consolidated core revenues declined 8% principally as a result of reduced revenues in our aerospace and commercial segments, both of which have been severely adversely impacted by the economy. However, consistent with the third quarter we delivered both consolidated gross and adjusted operating margin expansion with gross margins expanding approximately 120 basis points and adjusted operating margins increasing 80 basis points to 15.6%. Earnings per share, excluding special charges, were up 11% over the prior year while cash flow from continuing operations, excluding the tax payments made on the gain of sale of our ATI business, increased an impressive 29% compared to the prior year. As previously disclosed, we have been notified by the FDA that they intend to inspect our facilities in the Czech Republic during the fourth quarter of this year. We have since been notified that the FDA intends to inspect one of our locations in Mexico during the fourth quarter as well. Please keep in mind that the FDA is required to provide 30-day advance notice to visit foreign locations. They are not required to provide such notice to visit a U.S. based facility. As of today, we've had no facility inspections; however, we remain prepared for the pending visits and look forward to the completion of this process. Having achieved $17 million of incremental synergies through the third quarter in connection with the Arrow integration, we remain confident in achieving the $18 million to $20 million we expected this year. Cumulatively, we've taken actions to create over $65 million of annual synergies in the two years since the Arrow acquisition. We plan to complete the consolidation of two facilities by early 2010, the last of the major initiatives under the program. With the conclusion of these activities and the less significant actions planned in 2010, we clearly expect to achieve the $70 million to $75 million annual savings originally expected by the end of 2010. Again, this has been a great effort by all who have participated in the program. With that, let me turn it over to Kevin to get more into the financial results.
Kevin Gordon: Revenues for the third quarter were $461.5 million, down 8% over the third quarter last year, down 6% excluding the impact of foreign currency translation and product line divestitures. Adjusted gross margin for the quarter of 43.5% was up 160 basis points over the third quarter last year primarily due to improved medical gross margins from synergy achievement and manufacturing cost reductions implemented in each of our three segments. Adjusted operating expenses for the quarter were $125.9 million or 27.3% of sales compared to $136.8 million or 27.1% in the prior year quarter. The decline in operating expenses was due to synergies achieved from the Arrow integration, cost reductions in each of our segments, lower spending on FDA remediation efforts and reduced corporate spending with an offset from higher pension and other post-retirement costs. Operating income before special charges was $75 million up 1% from $74.4 million in 2008. Adjusted operating margins of 16.3% reflect an increase of 150 basis points compared to last year. Pre-tax special charges in the third quarter of 2009 totaled $2.1 million and related to costs associated with the Arrow integration and commercial restructuring programs. In addition, during the third quarter of 2009, we had a non-cash write-off of an investment in affiliate totaling $3.3 million related to a commercial real estate venture in California established in 2004. And finally, operating income was $69.6 million down 3% from the prior year quarter, primarily due to the write-off of the investment I just mentioned. Slide 10 provides a reconciliation of income in EPS for income from continuing operations before special charges. Excluding special charges, income from continuing operations was $35.2 million or $0.88 per diluted share compared with $31.4 million or $0.78 per diluted share in 2008 an increase of 12%. Third quarter of 2009 included lower net interest expense of $7.6 million due principally to reduced outstanding debt and lower interest rates compared with the prior year quarter, the special charges noted earlier and $1.1 million of tax adjustments. The second quarter of 2009 the tax adjustments represent benefits from the net reduction in income tax reserves and discrete tax benefits related primarily to the expiration of statute of limitations for various uncertain tax provisions and a settlement of tax audits. It is very important to emphasize that the investment write-off of $3.3 million or $0.05 per diluted share after tax negatively impacted our quarterly and year-to-date EPS excluding special items as it has not been reflected as a special item add back to income from continuing operations. Special charges in the third quarter of 2008 totaled $1.9 million net of tax, primarily related to the Arrow integration. Moving to year-to-date, revenues for the first nine months were approximately $1.4 billion down 12% from the comparable period in 2008, excluding the impact of currency translation and product line divestitures, revenues were down 8% again primarily due to the aerospace and commercial segments. Adjusted gross margin for the first nine months was 43.3% up 120 basis points over the same period in 2008. With each of our three segments reporting higher gross profit margins as a percentage of revenues in the quarter, the overall improvement was primarily due to the higher mix of medical revenues, synergies in the medical segment, manufacturing cost reductions in each of our three segments and shipments of the modern burner unit to the U.S. military. Adjusted operating expenses for the first nine months were $380.5 million or 27.7% of sales compared to $428.7 million or 27.3% in the prior year. The decline in the year-to-date operating expenses was attributed to many of the same factors that positively impacted the third quarter while the increase as a percentage of sales were driven by the overall sales reduction. Operating income before special charges was $215 million or 15.6% as compared to $231.7 million or 14.8% for the first nine months of 2008. Pre-tax special charges for the first nine months of 2009 totaled $21.2 million and related to the non-cash goodwill and tangible asset impairments in the aerospace and commercial segments recorded in the second quarter and expenses associated with the Arrow integration and commercial segment restructuring. Operating income was $190.5 million compared to $206.9 million in the comparable period of 2008. For the first nine months of 2009 income earnings per share, excluding special charges, was $105.1 million or $2.63 per diluted share compared to $94 million or $2.36 per diluted share for the corresponding period in '08 at 12% increase. The previously mentioned 2009 special charges is outlined on this slide at a $0.28 per share impact on diluted EPS. Let's now look at third quarter results for the operating segments and we'll start with medical. Medical segment revenues in the third quarter decreased 3% to $355.9 million compared with the prior year. The net decline in revenues was attributed to a 2% unfavorable impact of foreign currency translation, as well as core revenues declining less than 1%. As Jeff mentioned earlier, certain product lines experience very positive growth. Within critical care our vascular access products performed well, led by mid single-digit core growth in central venous catheter sales. Literally our strategy of the right catheter for the right patient and our ability to supply not only central venous catheters, but pick and specialty catheters as well is paying off. Our urology products achieved upper single-digit core growth with especially strong growth in our North American and EMEA markets. Anesthesia, core revenue growth in the quarter was in the low single-digit range driven by our regional anesthesia product offerings. And in a reversal from the trends we saw for the first two quarters for this year, our respiratory products had positive core revenue growth with particular strength in the North American and EMEA markets, an indication of the early beginning of the flu season. Offsetting the positive results in critical care, however, was a decline in surgical sales of 10% on a constant currency basis led by reduced general instrument sales as hospitals continue to manage capital constraints, decrease sales of higher margin closure devices, and a large distributor stocking order that occurred in the second quarter. Turning to cardiac care, sales were up 1% on a constant currency basis versus 2008. Sales increased as we delivered additional products following the resolution of the intra-Aortic balloon catheter recall initiated in the first quarter of this year. And lastly from a top line perspective in our most cyclical health care business OEM sales were down 4% on a constant currency basis compared to the third quarter of 2008. Similar to the first two quarters of the year, the decline in sales was primarily due to the continued weakness in orthopedic product sales. Operating profit, excluding special charges, was $74.5 million for the quarter compared to $73.4 million in the prior year quarter. The operating profit improvement was due to reduced FDA remediation spending and incremental synergies from the Arrow acquisition. This was somewhat offset by the reduced revenues and a negative impact from foreign currencies. Adjusted segment operating margins were 20.9% up 90 basis points compared to the third quarter of 2008. On a year-to-date basis, revenues decreased 6% principally from the unfavorable impact of foreign currency. Medical segments adjusted operating margins were 21.2% up 110 basis points over the first nine months of 2008 and well inline with our objectives. Moving to aerospace, aerospace revenues for the third quarter were $45.8 million down 26% compared with the third quarter of 2008. This was due to declining core revenues of 23% and an unfavorable currency impact of 3%. Similar to the first half of this year, the decline in third quarter core revenue was impacted by fewer cargo system conversions in the aftermarket, none in this quarter, and lower demand for cargo containers and spares from commercial airlines and freight companies. On a positive front, unit shipments of the smaller lower unit sales value narrow body cargo loading systems were up 25% as compared to the third quarter of 2008, and wide body system shipments to OEM's increased as planned. Although total aerospace revenues were down for the quarter versus a prior year period, they were up approximately 24% on a sequential basis from the second quarter. Aerospace operating profit decreased to $4.6 million or 9.9% of revenues from $7.3 million or 11.8% in the third quarter of 2008. This was principally due to the lower sales volumes including reduced sales of higher margin spares and a mix of system sales. However, similar to the improvement we saw in revenue operating margins improved over 700 basis points on a sequential basis. On a year-to-date basis, revenues decreased 35% principally from a core revenue decline. The currency impact was 6%. Segment operating margins were 6.8% compared with 10.2% for the first nine months of 2008. Looking ahead to the fourth quarter, we expect sequential top and bottom line improvement compared to the third quarter of 2009 in this segment and as a result expect operating margins for the full year to be in the upper single digits. Commercial, revenues for the segment in the quarter were $59.8 million compared to $74.6 million in the prior year. Core revenues declined 16% and a divestiture of an unprofitable marine product line negatively impacted revenues by 4%. The declining core revenue for the segment resulted primarily from a decrease in demand for rigging services products as a result of a 45% reduction in the number of serviceable oil rigs operating in the Gulf of Mexico compared to last year, and the significant reductions in material handling and construction markets, and a decline in sales of marine products to OEM manufacturers of recreational boats. This was somewhat offset by one, increased sales of spare parts in the marine aftermarket. A positive sign for this market with our first year-over-year growth quarter and two, sales of higher margin, modern burner units to the U.S. military. Commercial segment operating profit in the quarter was $4.6 million as compared to $4.9 million in the prior year quarter. Operating margins were 7.8% in the quarter compared to 6.5% in the third quarter of 2008, an improvement of 130 basis points. The improvement was primarily due to increased marine aftermarket sales, sales to the U.S. military and cost containment and restructuring initiatives offset by the significant decline in rigging services and marine OEM volume. And finally, year-to-date revenues decreased 25% principally from the decline in core revenues of 21% and the impact from the marine product line divestiture of 3%. Segment operating margins were 6.1% versus 8.6% for the first nine months of 2008, reflective of the sales volume decline offset by cost reduction initiatives. Moving on to cash flow, we had a number of highlights in the quarter but our strong cash flow was the brightest. In the third quarter alone, we generated approximately $104 million of operating cash flow, an increase of 88% over the third quarter of 2008. Year-to-date, excluding tax payments of $97.5 million associated with the gain on the sale of ATI, cash flow from continuing operations was approximately $179 million, an increase of 29% over the $138 million in the first nine months of 2008, excluding $90.2 million of tax payments associated with the gain on sale of our auto and industrial businesses. Adjusted free cash flow, defined as adjusted cash flow from continuing operations less capital expenditures for the first nine months of 2009, was $157 million compared to $113 million for the same period of '08. The cash generated served to increase our available cash balances by $44 million and to reduce long-term debt by an additional $51 million in the quarter. The debt payments were applied to the next two quarterly installments due under the credit agreement extending the due date of the next installment to March 2011 and reducing net debt to capital to approximately 41%. With that, I'll turn it back to Jeff.
Jeff Black: In summary, we're pleased with our operating performance in the first nine months of 2009, particularly considering the difficult and uncertain macroeconomic environment we're operating in. Despite the challenging markets of several of our businesses and the headwinds from foreign currency, we generated double-digit, year-over-year growth in EPS before special charges, continued to leverage and reduce our cost structure to maximize profitability and position us for future growth, further reduced outstanding debt and improved adjusted free cash flow from operations by 39%. I'm pleased so far with the achievements of our team. In closing, let me comment on expectations for each of our segments. For the full year, we expect flat core revenue growth in medical and adjusted operating margins that will approximate 21% for the year. In the fourth quarter, we expect core revenue growth to be led by our vascular access, respiratory and anesthesia product lines. We also remain on track to achieve the synergy targets associated with the Arrow integration as we near the completion of this program. In our aerospace and commercial segments, we expect the unfavorable top line year-over-year comps seen in the first three quarters of this year to continue in the fourth quarter. However, as Kevin stated earlier, we do expect sequential top and bottom line improvements to occur in the fourth quarter as compared to the third quarter of 2009 in aerospace due to the scheduled deliveries of cargo systems. And based upon the bottom line performance in the first nine months of 2009 and our expectations for the fourth quarter, we now expect our EPS, excluding special charges, to be at the top end of our previously announced range of $3.40 to $3.60 per diluted share. Finally, as a result of our strong year-to-date performance and our expectations for the fourth quarter, we are raising our adjusted cash flow from continuing operations target for the full year to be between $220 million and $230 million, up from our prior expectations of $210 million to $220 million. Before we take your questions, let me comment on the progress of our CFO search. We've engaged a well known search firm and will begin interviewing potential candidates in the very near future. So what are we looking for? An experienced public company CFO, experience in the medical device industry is strongly desired, strong international experience and someone with outstanding communications and a proven leader to add to our financial organization. Thank you again for joining us this morning. With that, I'll turn it back over to Jake.
Jake Elguicze: Operator, we're now ready to take questions.
Operator: (Operator Instructions) Your first question comes from Jim Lucas - Janney Montgomery Scott
Jim Lucas - Janney Montgomery Scott: Two questions, first wanted to talk a little bit about the new product pipeline. We saw a couple articles in the Journal this morning highlighting infection prevention, what's working, what isn't working. And was wondering if you could just talk a little bit about where we are in the development process, when and how many products we can expect whether it be 2010 or '11. And beyond the products that are targeting infection prevention, what does the rest of the R&D pipeline look like?
Kevin Gordon: Jim, I'll take that, this is Kevin. Certainly we're happy to see a continuation of the theme around infection prevention and so forth given our product line, so those articles in the Journal are helpful. You'll note in those articles it talks a lot about checklists and preventive measures just maybe even outside of a procedure. But you know that as part of product offering where the maximum barrier kits and so forth, we include all the relevant checklists in those to perform the procedure and including a number of those things to make sure to comply with HIPAA requirements and so forth. So I think we're a little bit ahead there and kind of leading that charge. As you know, our focus on infection prevention is in a couple of areas. One is the kits themselves that we just talked about in providing all of the protection, so that's an ongoing effort to continue to improve those kits and broaden that product portfolio. Secondly, it's in the coated product with our antimicrobial coatings and we have a CVC product today that provides those coatings with pretty significant market penetration here in the U.S. and growing penetration in Europe in particular. The next objective that we have here is clearly to take those coatings across the broader product line with the first view be to the PICC product line, but we've launched a few new products and already over toward the end of '08 beginning of '09 and extending that further. So the first development in that effort we expect to be mid next year in terms of getting that product out into the market.
Jim Lucas - Janney Montgomery Scott: Okay. In terms of west of the R&D pipeline, excluding the coatings, one of the things that you'd highlighted in the past was some of the R&D engineering resources where the sidetrack with what was going on last year and there is a little bit longer of a development process here. So I'm just curious as to when we might expect to see some sort of meaningful new product. How does the flywheel get spinning, if you will?
Kevin Gordon: I think the flywheel is back spinning. We had the FDA remediation effort. We've pulled some people off, as you know, and diverted their efforts to make sure we get through the compliance programs. Those folks are back on the development side and in addition to those folks being there, we've added some new resources within the group. Not only are we adding internally, but we're certainly taking advantage of capabilities of some expertise on the outside of our company as well. So the investment is going in there, it's really started to ramp up. And I think you'll see further investment as you look into 2010 to get that going.
Jeff Black: Jim, this is Jeff. I think as we give our outlook for 2010, we'll clearly be more definitive on some of that product pipeline that's coming out. But I agree with Kevin, I think people are now focused on new product development and again we continue to look to expand our investment in R&D as we look at 2010 and beyond.
Jim Lucas - Janney Montgomery Scott: Okay. Switching gears, you guys have done a great job on the cash flow side, balance sheet showing improvement. You've alluded in the past of looking at some select bolt-on opportunities to potentially strengthen the medical portfolio I guess the whole buy versus make in terms of a different way of thinking about new products. Could you talk a little bit about what you're seeing in the M&A environment?
Jeff Black: Clearly I think you're starting to see a lot more activity, especially in the medical device industry. My understanding is that the activity there, while you may not see a lot of deals consummated in the fourth quarter, I think the first quarter will probably be a move back towards doing deals. So we're out there looking. I think the stuff that we have seen up to this point for the last probably three to six months have either not fit into our portfolio or really don't help us from a growth and a margin standpoint. So while we've looked at a lot of things, I would tell you that our focus continues to be on trying to drive a more robust R&D portfolio and trying to drive that top line. But I do think that the market is getting better. But I can't tell you that we have actually seen anything that we've gotten overly excited about, to be honest with you.
Jim Lucas – Janney Montgomery Scott: And when you look at your pipeline in terms of the size of the deals, is it going to be more of the complimentary bolt-on sub hundred million, or could there potentially be something a little bit bigger than that?
Jeff Black: Well, it's funny. I mean, ours are truly focused on more of the bolt-on, although we've seen some of the larger deals. I don't think that's a place where Teleflex and we're willing to go, especially with our current FDA situation. So it's really got to be a good fit in the portfolio, and it's also got to be manageable from a cash standpoint and from our balance sheet standpoint.
Operator: Your next question comes from David Turkaly – Susquehanna Financial Group.
David Turkaly – Susquehanna Financial Group: Given the results that you saw in your critical care segment in what is typically a pretty seasonal quarter. Can you just remind us looking out what you expect from a top line and a bottom line for specifically critical care? Or let's even maybe even broaden that to just your medical business either like a longer term growth rate and then an operating margin target?
Jeff Black: Dave, this is Jeff. Clearly, we believe that when we get back to a more normalized market and we would expect that to continue to get better in 2010, I think a 3% to 5% growth rate is the target. Clearly, as Kevin discussed, our OEM business continues to have its cyclicality to it, both from a quarterly standpoint, as well as from a product standpoint. But we understand that. We've managed OEM businesses for many years. So I think our goals is to try to continue to move, especially on the critical care side. But I think we're more aggressive. If you look at where a lot of our investments are, they're really in that critical care from an R&D and from a clinical and even from a sales standpoint. So, we would hope to get back towards a more consistent growth rate in 2010, and feel that we're putting a lot of the investments in place in 2009 to kind of get us there. I think from a margin standpoint, I think we're moving incrementally in the right direction. Getting the synergies has been helpful. Clearly, our mix of portfolio helps. So I think we continue to see margin expansion for the next few years with kind of everything that we've seen and with the investments that we've made.
David Turkaly – Susquehanna Financial Group: Within the cash flow, I know you've made some changes and you refocused on operations. Do you think if there's any targets you could throw out there for kind of days outstanding in the inventory turns and given where you stand with the Arrow integration today?
Kevin Gordon: Yes, I think the inventory turns DSO really vary by our segments, David, but our medical business is in about the 50 day range. Aerospace can tend to be a little bit longer. But overall as a company, we're right in that 50 to 52 day range. From an inventory time standpoint, we still have not achieved what we think we're capable of achieving. There's a number of things for us to do. One from the Arrow integration, we're in the process of integrating or consolidating two facilities, as we mentioned in our remarks, that we expect to have those completed in early '10. So there is some safety stock build that's built in around some of those product transfers. So we expect after the first quarter of next year, we'll see some additional improvement just by virtue of that program coming to an end. Where we see a lot more room in working capital is particularly on the inventory side with respect to some of the moves related to Arrow in terms of the manufacturing processes that they employ with our operations folks looking at how to get more complete production in one operating facility as opposed to stop assembly and movement across facilities. So we'll look for greater benefits from that toward the back half of '10 and into '11.
David Turkaly – Susquehanna Financial Group: Last one for me would be just on a tax rate looking ahead, should we still be thinking about a 30% on a consolidated basis?
Kevin Gordon: Yes, I think you saw us just under 29% in this quarter and right in that range I think is a comfortable range to think about.
Operator: Your next question comes from [Patrick] for Sean Lavin – Lazard Capital Markets.
[Patrick] for Sean Lavin – Lazard Capital Markets: Hey, guys, [Patrick] in for Sean this morning. I want to ask a quick question. I'm doing some quick cocktail napkin math on your guidance for the medical division. It looks like you're guiding for mid single-digit core revenue growth. What gives you kind of the confidence and maybe add a little more color around what you're seeing that makes you feel like you'll see some acceleration this quarter?
Kevin Gordon: I think on a core basis, [Patrick], if your math might be a little different than ours, but I think we're probably in the lower single. In terms of core, I think you have some currency impact that maybe you have to figure into that guidance a little bit. But what gives us the confidence I think you heard in our remarks, I think we started to see a bit of an early uptick in the respiratory side from the flu season standpoint, and I think we're seeing some positive things there that will contribute to the fourth quarter. In addition, some of the products that we've launched on the anesthesia side or our market position we have with some of those products, we're beginning to really make some traction there. And then CVC had a very strong third quarter in that we had mid single-digit growth there. So the critical care product offering is what we really see driving that fourth quarter growth. We still have some reservations a bit around OEM, as we mentioned before, with the cyclicality. But it's clearly the critical care product line that's providing opportunity for us.
[Patrick] for Sean Lavin – Lazard Capital Markets: The other question I've got is looking at your comments around the surgical business. It sounds like there was a distributor stocking in the second quarter that may have made the third quarter weak. Do you expect that to change in the fourth quarter?
Kevin Gordon: No, we don't. I think I would attribute that to pretty much a one-time event.
[Patrick] for Sean Lavin – Lazard Capital Markets: So it should be more like a normal type revenue rate?
Kevin Gordon: Just to quantify that, I think the net revenue impact to that, [Patrick], was about $1 million.
Operator: Your next question comes from Bob Hopkins – Bank of America.
Bob Hopkins – Bank of America: First on the medical segment, can you just make a comment on pricing in the medical segment? Specifically, I'm wondering if there's anything in your opinion that was different about the market in Q3 versus Q2 from a pricing perspective. I realize it's a difficult environment. I'm just wondering if anything is changing on the margin.
Jeff Black: Bob, this is Jeff. No, we really have not seen any direct impact yet from pricing. Clearly, there's a lot of conversations ongoing and we're not sure where they're going to end up. But I think at this point, we feel pretty good that the pricing has remained stable, at least for the time.
Bob Hopkins – Bank of America: Okay. Then I apologize if you talked about this earlier, but in terms of your PICC line, did you give a constant currency growth number for that PICC line in the quarter?
Kevin Gordon: In the quarter, I think what we saw again is CVC very strong and the PICC was about flat with last year or last year's quarter.
Bob Hopkins – Bank of America: Okay. Correct me if I'm wrong, but wasn't up fairly nicely in Q2? I was just wondering if there was anything –
Kevin Gordon: You're not wrong. I don't need to correct you. It was up 18% in the second quarter. But in the third quarter, we had, I think a number last year that was up considerably from the second quarter of last year and we were flat with that number this year.
Bob Hopkins – Bank of America: Okay, but nothing fundamental that you'd want to point out that went up that was different in Q3 than Q2?
Kevin Gordon: No. There's nothing fundamental there as we continue to drive that effort. And we're driving that effort with the marketing promotions and sales promotions that are, as I mentioned in the remarks, the right catheter for the right patient at the right time. So, having that full product offering of CVC versus PICC versus [inaudible] catheters really puts us in a position to offer the full breadth of product to the customer. And with the market leading position in PICC and a growth rate of mid single digits, I think we saw that with the answer and the customers requirements.
Bob Hopkins – Bank of America: Okay. Lastly really quickly, you made a comment on M&A and suggested that we may see more in Q1 versus Q4. I assume that was a comment on the market overall and not specifically related to you guys, I just wanted to make sure that that was correct. And then I'm just wondering if that's right, why you see it picking up in Q1? And then also, do you have any sense as to, from the lobbying community for smaller cap medtech is, what the medical device tax might mean for you guys going forward, or is that still too murky to say anything?
Jeff Black: Bob, on the M&A, I was referring to the market and not Teleflex in terms of impending transactions, so I would like to clarify that. And then Kevin can touch briefly on the tax.
Kevin Gordon: Yes, there's a lot of discussion going on. There's the Baucus proposal is out there so forth, and there are a lot of lobbying efforts that are happening among a lot of industry specialists groups. But I think the way we're looking at it right now, Bob, although there's great uncertainty out there as to what program will actually occur. I think we see an impact, depending upon the program out there, of somewhere between 2% to 4% of our medical operating profit impact. So from and EPS standpoint, obviously that's a bit of a lower impact with the rest of the business. We're trying to quantify the various programs but I think it has a potential to have an impact next year, but if the lobbying groups of the medical device industry are more successful with their proposals, it looks like it would be delayed to future years, further out, possibly as far out as 2013.
Operator: Your next question comes from Christopher Warren – Caris & Company
Christopher Warren – Caris & Company: I wanted to ask a question about the remediation expenses which up until this year were sort of running $20 million to $25 million annually. I think last time you had spoke you said [inaudible] to go. Where are you with that, and how much of that has been redirected into R&D?
Kevin Gordon: I think, Chris, from our previous conversation it was about $4 million was the cost. While there is still some – clearly until we get through the FDA there will be some remediation costs impacting our P&L. But we have diverted a lot of that attention in cost and investment back into the R&D program. I think you can see that as you look at our R&D spending on a quarterly basis continues to escalate. And we would expect that will also happen as we look at 2010 going forward.
Christopher Warren - Caris & Company: Any additional numeric granularity you could give us on that sequential improvement in R&D expense or increase?
Kevin Gordon: Yes, I think the goal that we're looking at, Chris, as we go forward I think right at the moment we're focused on getting our people back in the right place, which we've done early part of this year. So you're going to see about a 20 to 30 basis point improvement in 2009 versus 2008. As we're looking ahead to 2010 and beyond, we're expecting about a 40 to 50 basis point increase next year with the goal, as we said, over the next several years ramping up to that 5% to 6% range.
Christopher Warren - Caris & Company: I wanted to ask about the OEM portion of the business. I know it was weak in the quarter and this is cyclic and there are also some product cycles to consider. Any sort of thoughts on positive catalysts for reacceleration there beyond the fourth quarter?
Kevin Gordon: In OEM itself?
Christopher Warren - Caris & Company: Yes.
Kevin Gordon: Well, let's just breakdown the OEM business for you. It's about 2/3 is the specialty business is much more of a [flora] polymer plastic specialty product business and 1/3 orthopedics. So let me break it down that way. The 2/3 piece of the specialty side continues to perform well, and actually had a growth rate in the low single digits in the quarter. So it's the orthopedic side of the business that's continued to be very difficult. So are other positive catalysts within specialty, absolutely. We continue to work with the premiere medical OEM companies in the industry to continue to look for new opportunities to support their development efforts. Orthopedics on the other had, we're in two spaces there. We're really in instrumentation, primarily related to spine procedures. And then we have some fixation devices, which are screws, plates, and things of that nature that would be used for specialty orthopedic procedures. We're trying to drive customer relationship there and developing cycles to improve that, but I can't point to a specific catalyst today that says fourth quarter is going to be significantly better than what we see.
Christopher Warren - Caris & Company: One final question for you looking at operating margin improvement, certainly hopefully the macro situation improves whether revenue growth slowly accelerates as we look into 2010. Asking sort of a theoretical question, to what extent can you improve operating margin in the absence of that sort of slow top line acceleration and is there significant upside from here in your view?
Jeff Black: Yes, I think, Chris, we talked about one. We still have the additional synergies from the Arrow transaction, and as we noted in our comments, we've had two facilities that'll be shut down probably in first quarter of 2010. So that should obviously get to some improvement. We've not really been able to get at a lot of the Arrow consumable materials because of the FDA issue, so clearly we see that as an opportunity. And I think as Kevin talked about of just looking at the overall structure for how Arrow manufactured their products of trying to do more within a single facility, reduce logistics, which also would help us from an inventory and working capital standpoint. So we do see both on the P&L, the opportunity to have an impact, as well as over on the balance sheet.
Christopher Warren - Caris & Company: So would that be suggestive of say 18% sort of adjusted operating margin potential in the absence of revenue growth acceleration over the next two years?
Kevin Gordon: I think maybe you want address your comments more to the medical side of the business and the operating margins on adjusted basis. I think you focus in that low 20% range that we've been in with some expansion there potentially from the gross margin line that Jeff indicated with the investment on the R&D side and so forth coming back the other way a little bit. Before we rush too far to 18% with commercial and aerospace, we're continuing to work through those markets. I think you saw a great job by our teams in this quarter in terms of turning the market decline around to actually growing year-over-year. And we expect similar results in the fourth quarter as you can tell from our guidance. But I think it's more appropriate to break it down, Chris, to the segments.
Christopher Warren - Caris & Company: One last thing on the non-medical green sheets we saw specifically in the aftermarket portion of the marine segment, any other sequential improvements in that mix? Or anything built into the 4Q expectations for some sequential improvement?
Kevin Gordon: Well, we mentioned a few times the modern burner unit that we sell to the U.S. military, so I think sales in fourth quarter of that product will probably be slightly higher than they were in the third quarter. So we'll have some sequential improvement there. On the other hand, from a seasonal standpoint, you're going into a fourth quarter or a period of the year which is typical lower for marine, so they'll offset each other a bit. But the positive catalyst in aftermarket is a very good thing for us to see exiting the summer months and then heading into the first quarter of next year when expect hopefully to see maybe a stronger season next year.
Operator: Your next question comes from Seth Damergy – Deutsche Bank.
Seth Damergy – Deutsche Bank : On the critical care front, I just wanted to see if the dynamics in hospital, I guess in the current purchasing environment within the hospitals there helping you penetrate some new accounts that maybe you didn't have access to before?
Jeff Black: Seth, I think they are in a lot of cases. Clearly we still are working through a lot of the GPO agreements as well as trying to get additional [IDM]. So that helps clearly. At least you then have a hunting license to go out and go into some of these newer hospitals. So I think we do see that. I would also say that from our standpoint is with our breadth of products, we do walk in with a broader product line, and while we'll typically go in with a few lead products, we're also then trying to offer the full product line once we get in and start to penetrate. So I think that's always been our approach, especially since the Arrow acquisition as lead in with you most clinically inclined where you can really demonstrate both value from infection protection, as well as helping them deal with some of the challenges that they have and bringing the rest of our products to the forefront as well. So it's a strategy that we've now been employing for about two years, and we are starting to see some opportunity there going forward.
Operator: Your next question comes from Paul Mammola – Sidoti & Company
Paul Mammola - Sidoti & Company: Kevin, you gave some color on pricing and said that it really wasn't an issue in the quarter. So are we to assume that the sequential downtick in the medical operating margin was mostly mixed given that leverage didn't seem to come down that much on the top line.
Kevin Gordon: I think it's mostly – it's not really price. I mean if you look at where we saw some of the sequential improvement quarter-over-quarter with the respiratory business, which typically is a bit of a lower margin business for us. And then obviously sales volumes, and there's a number of things that factor in there beyond that region of business where we're selling. So I wouldn't necessarily look at the margin downtick sequentially as a major issue from price. I think, as you know, third quarter typically is a seasonal quarter for us where we see a bit of a downtick because of the European markets typically shutting down for a couple of month. You would normally expect that to occur in the third quarter.
Paul Mammola - Sidoti & Company: Then you spoke on Arrow Guard and its penetration domestically and internationally. Can you remind us where you are on that and where you see it going say over the next couple of year?
Kevin Gordon: Yes, today in North America or the U.S. in particular, we have a penetration rate of about 70% of our CVC. In the European market it's around 25%, so it remains to be seen where it's going to go. But certainly, we have an uptick from a revenue or pricing standpoint as we continue that penetration.
Paul Mammola - Sidoti & Company: Then any thoughts on hospital inventory on critical care products here and maybe can you see the type of scenario where there could be a pretty sharp uptick in order rates as these hospitals prepare for flu season?
Kevin Gordon: Well, that's certainly a possibility and we're seeing a bit of an early start here. We see it in our employee base in fact in terms of an early start here. So, again as I think the question was asked earlier, is what's the [comps] we have in the fourth quarter, and I think from a critical care perspective, I think respiratory has the possibility of really leading the way from a growth perspective if everything happens the way we kind of see it starting out early here. But from a stocking standpoint, which I think is where you started your question, I don't think anybody's overstocked and I don't really think anybody's really under stocked at this point. I think we're getting to a point now where we just need to really focus on how we meet the demand of the customer as they come in.
Operator: This concludes the question and answer session of today's conference call. I'd like to turn the conference back to Jake Elguicze for any closing remarks.
Jake Elguicze: Thank you for joining us today. That concludes the Teleflex Incorporated Third Quarter 2009 conference call.
Operator: Ladies and gentlemen, this concludes the conference. Thank you again for your participation. You may now disconnect and have a good day.